Operator: Good day, everyone, and welcome to the Xcel Energy First Quarter 2016 Earnings Conference Call. Today's call is being recorded. At this time, I would like to turn the conference over to Paul Johnson, Vice President of Investor Relations. Please go ahead, sir.
Paul A. Johnson - Vice President-Investor Relations: Good morning, and welcome to Xcel Energy's 2016 first quarter earnings release conference call. Joining me today are Ben Fowke, Chairman, President and Chief Executive Officer; and Bob Frenzel, Executive Vice President and Chief Financial Officer. In addition, we have other members of the management team in the room to answer your questions. This morning, we will review our 2016 first quarter results and update you on recent business and regulatory developments. You may have noticed that our earnings call is a bit later than normal this quarter. We just implemented a new general ledger system, so we built a little extra time into the schedule. We're pleased to report that everything went very well with the implementation. Today's press release refers to both ongoing and GAAP earnings. 2015 first quarter ongoing earnings were $0.46 per share, which excludes a charge of $0.16 per share following the decision by the Minnesota Commission in the Monticello nuclear prudence review. GAAP earnings for the first quarter of 2015 were $0.30 per share. As a reminder, some of the comments during today's conference call may contain forward-looking information. Significant factors that could cause results to differ from those anticipated are described in our earnings release and our filings with the SEC. I'll now turn the call over to Ben.
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: Well, thank you, Paul, and good morning. Bob will go into more detail later, but in summary, we reported ongoing earnings of $0.47 per share for the quarter, compared to $0.46 per share last year. Overall, it was a solid quarter in which declining O&M expenses offset unfavorable weather and lower than expected sales. While electric sales in the first quarter were below expectations, we expect sales to improve in the second half of the year, and we remain very confident in our ability to deliver earnings within our guidance range. As a result, we are reaffirming our 2016 ongoing earnings guidance of $2.12 to $2.27 per share. As we've previously discussed, we are executing on our upside capital investment plan. Later this month, we'll make a filing with the Colorado Commission to add 600 megawatts of wind generation and associated transmission. This represents a rate base investment of just over $1 billion. In April, the Commission confirmed our interpretation of a Colorado law that allows utilities to own 25% to 50% of incremental renewables without going through a competitive bid process, if the project is developed at a reasonable cost compared to similar renewable sources available in the market. The levelized cost of this wind project including transmission is projected to be below any other existing wind PPAs in the PSCo portfolio. We therefore believe we'll be able to demonstrate to the Commission and the independent evaluator that this project meets and exceeds the reasonable cost standard and represents tremendous value to our customers. We plan to request a Commission decision by November so that we can capture the full production tax credit benefit for our customers. This capital investment is currently reflected in our upside capital forecast (3:23). If the Commission approves this project, we will move it to our base capital forecast, which will result in rate base growth of 4.5%, a great example of organic and disciplined growth that provides value to shareholders, customers and the economy in our service territory. You should expect us to continue to find investment opportunities of this nature that will drive us to our upside capital goals. Next, I'd like to spend a few minutes recognizing the outstanding efforts of our employees in responding to a major snowstorm in Colorado. In March, Denver and Northern Colorado were hit with a blizzard with 12 to 18 inches of snow and wind gusts over 60 miles per hour that caused approximately 350,000 outages. As a result of proactive planning prior to the storm and the work of over 950 employees and contract crews, we were able to restore service to 90% of our customers within 12 hours, 98% of our customers within 36 hours, and 100% of our customers within 60 hours. This was another example of our world-class storm restoration, and I want to thank all of our employees for their dedication and tremendous efforts to provide excellent customer service and reliability to our customers. Turning to other accomplishments, we recently received several awards that are worth mentioning. In March, the EPA and others recognized Xcel Energy with a 2016 Climate Leadership Award for Excellence in Greenhouse Gas Management. The award acknowledges our commitment and progress in reducing CO2 commissions (sic) emissions. Military Times ranked Xcel Energy as one of the Top Employers of Veterans in 2016. Finally, in April, AWEA named Xcel Energy the number one wind provider of energy for the 12th consecutive year. Finally, we recently announced the hiring of Bob Frenzel as our new Executive Vice President and CFO. Bob brings more than 17 years of experience in energy, banking and consulting in addition to six years of experience as an officer in the U.S. Navy. He most recently served as Senior Vice President and CFO for Luminant. Bob brings a wealth of experience that complements our strategies and our business. He understands our industry and has a proven track record of driving excellent performance and solid growth. Some of the key attributes that Bob brings to the table include strong financial and commercial acumen, excellent strategic vision and execution, an engineering and nuclear background, and an outstanding experience managing cost. He will be a valuable addition to the Xcel Energy team. I think it's important to recognize that our strategic plans and priorities are not changing. We will continue to focus on organically growing our regulated operations and maintaining the disciplined financial approach you've come to expect from us. I also want to recognize the outstanding service and contributions of Teresa Madden, who is retiring after a career spanning 36 years. Teresa played a major role in building our track record of delivering on our value proposition and she leaves a solid platform for continued strong results. We're very grateful for her many contributions and we wish her much happiness in her retirement. So I'll now turn the call over to Bob to provide more detail on our financial results and outlook in addition to our regulatory update. Bob?
Robert C. Frenzel - Chief Financial Office & Executive Vice President: Thanks, Ben, for that introduction. I'm very excited to join Xcel and I'm honored to follow in Teresa's footsteps. I commit to continuing Xcel's long tradition of delivering on our financial objectives and growing earnings in a low risk, transparent and predictable manner. Now, let's get to the details of the quarter. As Ben indicated, we reported ongoing earnings of $0.47 per share for the quarter as compared to $0.46 per share last year. The most significant drivers in the quarter include the following. Improved electric margins increased earnings by $0.06 per share; this was largely due to interim rates in Minnesota and capital rider revenue for recovery of capital investment, partially offset by unfavorable weather. Higher gas margins in our gas segment increased earnings by $0.01 per share, which is primarily due to rate increases from higher rate base, partially offset by unfavorable weather. Lower O&M expenses increased earnings by $0.01 per share, which reflects cost management and some timing-related issues. Partially offsetting these positive drivers was higher depreciation expense, which reduced earnings by $0.06 per share, primarily reflecting depreciation from new capital investment. Turning to our sales results, although the economy in our region remains strong and we continue to add customers, our weather-adjusted electric sales declined by 0.3%. Further adjusting for the impact of an extra day of sales in the quarter due to leap year, our weather-adjusted electric sales actually declined by 1.4%. The decline in sales is largely driven by lower use per customer from energy efficiency, an increase in the number of multi-family units, the impact of distributed solar and the impact on consumption of lower oil and natural gas prices on some of our larger customers. As a result, we have lowered our full-year electric sales growth assumption to 0.5% from 0.5% to 1% range. We continue to expect positive sales growth for the full year in all jurisdictions, due to customer growth as well as planned expansion from some of our larger customers. In addition to lowering our sales assumptions, we've also taken actions to lower our full-year O&M expenses. We implemented plans early in the year to offset the impact of the rate reduction in Texas as well as unfavorable weather and lower sales growth. As a result, we now expect to limit our annual O&M expenses to 0% to 1% increase for the full year. As we continue to strive to close our ROE gap, we have been pretty active on the regulatory front. Let me provide you a quick update. There are additional details included in our earnings release. In Wisconsin, we recently filed a case seeking an electric rate increase of $17.4 million and a natural gas increase of $4.8 million. This is a limited scope case, and ROE and capital structure are not expected to be an issue. The decision is expected by December, with final rates effective in January of 2017. We also have pending rate cases in Minnesota and in Texas. Both cases are in the discovery stage, and as a result, there aren't any material new developments. Finally, we recently filed a settlement in our New Mexico rate case, which was reached between SPS, the staff, and other parties. The black box settlement reflects a non-fuel base rate increase of $23.5 million. The settlement represents a compromise which we think is reasonable. The New Mexico Commission is expected to rule on the settlement later this year and new rates are expected to go into effect in August. As Ben mentioned, we are reaffirming our 2016 ongoing earnings guidance with no changes. However, as I previously mentioned, we have updated several of the key assumptions, including electric sales and O&M expenses as detailed in our earnings release. Also, please note that we've reduced our assumption for capital rider recovery to reflect the transfer of some pipeline recovery from the rider to base rates as part of our last Colorado natural gas rate case. The transfer has no material impact on earnings. In summary, it was a good quarter for the company. Continued vigilance on cost management resulted in lower O&M expenses, which offset unfavorable weather and sluggish sales to deliver solid first quarter earnings. We made significant progress to convert some of our upside capital to base capital with a planned filing to own 600 megawatts of wind in Colorado. We anticipate a Commission decision later this year. Finally, we remain on track to deliver ongoing earnings solidly within our 2016 guidance range. This concludes our prepared remarks. Operator, we'll now take questions.
Operator: Thank you. We'll go first to Ali Agha at SunTrust.
Ali Agha - SunTrust Robinson Humphrey, Inc.: Thank you, good morning.
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: Good morning, Ali.
Robert C. Frenzel - Chief Financial Office & Executive Vice President: Good morning, Ali.
Ali Agha - SunTrust Robinson Humphrey, Inc.: Good morning, Ben. Good morning. First question, the sluggish sales growth that you alluded to in the first quarter, anything specific – I know it's early in the year and it's a small quarter, but that would give you that confidence that we're still going to end up on the positive for the year given the negative start to the first quarter?
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: Sure, Ali. It's really the result of conversations our account managers have had with our large commercial and industrial accounts. So we know we're going to be seeing more load come on in the second half of the year.
Ali Agha - SunTrust Robinson Humphrey, Inc.: Okay. Okay, and you highlighted the earned ROE through the LTM ending in March 31. Can you just remind us what kind of regulatory lag that would translate into?
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: Well, it's about 90 basis points of lag. And again, as you know, our goal is to cut the lag by 50 basis points by 2018, and Ali, I think we remain on track with that. If you look at Colorado, I think we are on track. The Minnesota case here should put us on track and we will continue to work diligently at SPS to get that on track including filing of cases that take advantage of new legislation in forward test years in Minnesota – I mean in New Mexico.
Ali Agha - SunTrust Robinson Humphrey, Inc.: And Ben, this Colorado wind filing, are you anticipating much opposition there or I mean is it pretty much a done deal, all you need to do is show the numbers? Can you just handicap us like how we should think about this filing and the approval?
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: Well, I'd never say it's a done deal. You need Commission approval, but Ali, in tune to the first part of your question, this project has tremendous community support and it's going to create tremendous value for our customers in fuel savings, even if you look at the lower gas forecast. So we're excited about it, and the community and our stakeholders are excited about it, so we're very confident this is going to go through.
Ali Agha - SunTrust Robinson Humphrey, Inc.: Okay and last question, when should we start to see some of the other growth investments that you've highlighted for us start to show up in terms of filings and potential move into base CapEx?
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: Well, some of that will come through resource plans. I mean that's the big part of it – filings for grid monetization opportunities that we might be out there to capture value for our customers. So I mean I think you'll see it over the next 12 months basically.
Ali Agha - SunTrust Robinson Humphrey, Inc.: Okay. Thank you.
Operator: We'll go next to Michael Weinstein with UBS.
Julien Dumoulin-Smith - UBS Securities LLC: Hey. It's actually Julien here. Good morning.
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: Hi. How are you?
Robert C. Frenzel - Chief Financial Office & Executive Vice President: Hey, Julien.
Julien Dumoulin-Smith - UBS Securities LLC: Good. Thank you. Hey. I wanted to follow up – a couple quick questions here. Can you elaborate a little bit on your eligibility to participate more than 25% to 50% in Colorado? What would the requirements there be, and elaborate a little bit more on the requirements of that 25% to 50% and what that threshold would be? And then, perhaps, a separate related question would be, the latest on solar, and specifically community solar in Colorado, and any opportunity to own or rate base those assets.
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: Okay. Well, let's start, Julien, with the 25% to 50% standard of the Colorado legislation. The 25% standard is just – is the reasonable cost standard that I mentioned in my prepared remarks. The 50% standard – without going through a competitive bid, you need to show economic value to the community. And I think you asked, can you do more than that? Yeah, you potentially could do more than that. But at this point, we would anticipate you'd have to go through a competitive RFP to do that. And that doesn't mean we can't prevail on that. But that's the law that we were referring to. So we're pleased with that. Now you asked about community solar gardens. At this point, we don't have plans to buy any of those projects or provide any of those projects. It doesn't mean we couldn't, but – nothing would prevent us, but it's not something we've been actively pursuing at this point.
Robert C. Frenzel - Chief Financial Office & Executive Vice President: The other point, Ali – or Julien, we will be making a resource plan filing later this spring and we will potentially include some solar in as part of that resource plan, so we'll go forward with that too.
Julien Dumoulin-Smith - UBS Securities LLC: Got it. And then just following a little bit on the first quarter results themselves. Obviously, little bit further from plan on the normalized, and it's always tough to read tea leaves, but what stood out if you were to go back and try to rehash things in terms of factors driving that negative delta?
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: Julien, you broke up a little bit. Were you asking what drove the negative sales outlook?
Julien Dumoulin-Smith - UBS Securities LLC: Yeah or was there a specific factor more than others? I know you delineated a few there, but was there one that stood out?
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: Well, I mean other than the factors that we mentioned, there's always the art versus science of capturing weather and the impact of weather, and we did have some significant mild weather in the quarter, so I'm not sure you can ever fully scrub that out. We follow the formulaic approach, which is blessed by our commissions, but there's always some potential for anomalies.
Julien Dumoulin-Smith - UBS Securities LLC: Got it. All right. Thank you.
Operator: We'll go next to Travis Miller with Morningstar Financial.
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: Hi, Travis.
Travis Miller - Morningstar, Inc. (Research): Good morning, thank you. I guess I'll continue on this demand question line here. If you think about that flat type demand, even 0.5% demand, if that continues for not just this year, but let's say the next two years to three years, how does that put you in position for closing that 50 basis point gap? Does that require more rate cases? Does it require you to change the types of requests you're making, the capital investment? Can you just walk me through kind of how that picture would play out?
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: Well, I think it does a number of things, but we've been anticipating relatively flat sales in our outlook for quite some time now, Travis, so our ability to close the ROE gap assumes that we are not going to have robust sales to bail us out. So it means you have to manage your O&M carefully, and we are and we will continue to do that, and in fact I think we're in the early days of cost management. We will make sure our resource plans reflect those kinds of sales growth opportunities, so we don't overbuild. And of course as you know, we have decoupling mechanisms here on the electric side in Minnesota, which are helpful as well. So there's a number of things you can do from a regulatory standpoint and from an internal management standpoint, and of course from a resource planning standpoint, and that's the environment we anticipate being in.
Travis Miller - Morningstar, Inc. (Research): Okay. And then just mix between residential and C&I, what's approximately your margin mix, I guess, is the simplest way to put it? When commercial and industrial is 1.5%, residential is down 1.1%, how does that translate into profitability, if you get kind of where I'm going there?
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: Let me try to – I ask my team if they can help me with this one. I'll have a much higher profit margin in the residential, and then when you get to the C&I, it really depends on which customer you're talking about and which jurisdiction. For example, the largest industrial customer is in SPS. The sales there will have the most minimal impact on margin, if anybody can help further define that for Travis a bit.
Robert C. Frenzel - Chief Financial Office & Executive Vice President: Yeah, I mean, Travis, if you think about it, the rate per megawatt hour for residential customer is probably going to be somewhere around that $0.11 range and large C&I customer is probably going to be more in that $0.07 range. So it's pretty different revenue stream.
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: And they pay a larger demand charge too, so variable sales tend to be more of the energy – it's more the energy pass-through than it is the high margin that you're getting with residential.
Travis Miller - Morningstar, Inc. (Research): Yeah. Okay. Great. I appreciate the thoughts.
Operator: We're standing by. With no further questions at this time, I would like to turn the conference back to Bob Frenzel for any closing or additional comments.
Robert C. Frenzel - Chief Financial Office & Executive Vice President: Thank you for participating in our earnings call this morning. I look forward to meeting many of you over the next few weeks at the Deutsche Bank and AGA conferences. If you have any questions in the interim, please contact Paul Johnson with any follow-ups.
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: Thanks, everyone.
Operator: This does conclude today's call. We do thank you for your participation. You may now disconnect.